Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Welcome to Signature Bank's 2021 Fourth Quarter and Year-end Results Conference Call. Hosting the call today from Signature Bank are Joseph J. DePaolo, President and Chief Executive Officer; and Eric R. Howell, Senior Executive Vice President and Chief Operating Officer. Today's call is being recorded. At this time, all participants have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. [Operator Instructions] 00:49 It is now my pleasure to turn the floor over to Joseph J. DePaolo, President and Chief Executive Officer. You may begin.
Joseph DePaolo: 00:57 Thank you, Britney. Good morning, and thank you for joining us today for the Signature Bank 2021 fourth quarter and year-end results conference call. Before I begin my formal remarks, Susan Lewis will read the forward-looking disclaimer. Please go ahead, Susan.
Susan Lewis: 01:15 Thank you, Joe. This conference call and all statements made from time to time by our representatives contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. You should not place undue reliance on those statements because they are subject to numerous risks and uncertainties relating to our operations and business environment, all of which are difficult to predict and may be beyond our control. 01:37 Forward-looking statements include information concerning our expectations regarding future results, interest rates and the interest rate environment, loan and deposit growth, loan performance, operations, new private client team hires, new office openings, business strategy and the impact of the COVID-19 pandemic on each of the foregoing and on our business overall. 01:58 Forward-looking statements often include words such as may, believe, expect, anticipate, intend, potential, opportunity, could, project, seek, target, goals, should, will, would, plan, estimate or other similar expressions. As you consider forward-looking statements, you should understand that these statements are not guarantees of performance or results. 02:18 They involve risks, uncertainties and assumptions that could cause actual results to differ materially from those in the forward-looking statements and can change as many as a result of many possible events or factors, not all of which are known to us or in our control. These factors include those described in our quarterly and annual reports filed with the FDIC, which you should review carefully for further information. You should keep in mind that any forward-looking statements made by Signature Bank speak only as of the date on which they were made. 02:45 Now, I'd like to turn the call back to Joe.
Joseph DePaolo: 02:47 Thank you, Susan. I will provide some overview into the quarterly results; and then my colleague, Eric Howell, our Chief Operating Officer, will review the bank's financial performance in greater detail. Eric and I will address your questions at the end of our remarks. 03:03 2021, which marks Signature Bank’s 20th anniversary, was a sensational year of growth and achievements. All our businesses contributed to the Bank’s stellar performance, whether it be from our established New York banking franchise and emerging West Coast presence to our newer nationwide businesses. 03:26 The performance includes a multitude of accomplishments, such as record growth in deposits of 43 billion, which comes on the heels of our 2020 record deposit growth of 23 billion. Additionally, growth in non-interest bearing deposits, loans and investment securities, all reached record levels. It is our founding, client-centric model that drives this robust organic growth, and, when combined with the inherent, best-in-class operating efficiencies of Signature Bank, and results in record revenue growth and record net income. 04:06 Throughout the 20 years that we have been in business, we seldom take time to acknowledge our achievements, such as our recent inclusion in the S&P 500 Index, for which we are very honored. Instead, we remain focused on our bright future and commitment to staying at the forefront of innovation as the financial services industry continues to undergo digital transformation. 04:31 Now, let’s take a look at our earnings. Pre-tax, pre-provision earnings for the 2021 fourth quarter were a record 385 million, an increase of 124 million, or 47%, compared with 262 million for the 2020 fourth quarter. 04:53 Net income for the 2021 fourth quarter increased 99 million or 57% to a record 272 million or $4.34 diluted earnings per share compared with 173 million or $3.26 diluted earnings per share for last year. 05:15 The increase in income was predominantly driven by substantial asset growth of 45 billion over the last 12 months, as well as the decrease in the provision for credit losses, which was substantially impacted by COVID-19 in the fourth quarter of 2020. Looking at deposits, deposits increased 10.6 billion or 11% to 106 billion this quarter while average deposits also grew 10 billion. 05:45 This quarter's growth was driven by the digital asset banking team, which grew deposits by 5.7 billion, including 2.4 billion of growth on the Signet payments platform. Additionally, our New York banking teams grew by 6.9 million. For the year, deposits increased a remarkable 43 billion or 68% and average deposits increased 35 billion. 06:13 Our growth for 2021 can be broken down as follows. Our digital team grew 21.4 billion, our specialized mortgage banking solutions team grew 3.9 billion. Our Venture Banking Group grew nearly 900 million. Fund Banking grew 700 million. The West Coast grew nearly 400 million and our New York banking teams grew fifteen point four billion, which includes 18 teams had over 100 million in growth each. 06:43 This growth led to further reduction in our loan to deposit ratio, which now stands at 61%. Lowering our loan to deposit ratio was a primary initiative and we have certainly achieved our goal. 06:57 During the quarter, non-interest bearing deposits increased 10 billion to 44.4 billion, which represents a high 42% of total deposits. This tremendous growth in DDA can largely be attributable to the attraction of our Signet’s payments platform, which grew by 2.4 billion to 7.7 billion this quarter. In fact, we just surpassed 10 billion several times in the Signet platform in the first weeks of January. 07:29 Our substantial organic deposit growth led to an increase of 44.6 billion or 60% in total assets since the fourth quarter of last year. The bank has increased in deposits by nearly 66 billion over the last two years, which is the equipment of acquiring a Top 50 U.S. Bank in each of the last two years. We did it completely organically. No goodwill, you believe this is by far the most efficient use of capital. Not bad for a 20-year old bank. 08:07 Now, let's take a look at our lending businesses. Loans [during] [ph] during the 2021 fourth quarter increased a record 6.3 billion or 11%. Every year loans increased 16 billion or 33%. The record growth in loans this quarter was again driven primarily by the fund banking call, capital call facilities, which rose 5.4 billion. This includes a 1.3 billion purchase of a high quality loan portfolio from a [money standard bank] [ph] that is comprised of loans to well-known borrowers, most of whom are already clients to the bank. 08:44 Moreover, our commercial real estate team grew loans by 707 million and we expect them to begin growing again. This marks the end of a multi-year plan slowdown for that business, where we substantially reduced our CRE concentration from peak of 593% to 312%. This was another major initiative successfully accomplished. 09:09 We also saw growth of our West Coast banking teams, Signature Financial, and our newer Corporate Mortgage Finance and SBA Originations businesses. 09:19 Turning to credit quality, our portfolio continues to perform well. First, let me point out, we essentially have put full non-payment COVID modifications behind us. I'll say it again, we have essentially put full non-payment COVID modifications behind us, as we now have only 8 million in remaining. That is down from 1.3 billion at the end of 2020. 09:46 Non-accrual loans were 218 million or 34 basis points of total loans compared with 165 million or 28 basis points with 2021 third quarter. Our past due loans remained in their normal range with 30 day to 89 day past due loans at 97 million and 90-day plus past due loans at 17 million. 10:10 Net charge-offs for the 2021 fourth quarter were 33.7 million or 22 basis points of average loans, compared with 17.3 million for the 2021 third quarter. The provision for credit losses for the 2021 fourth quarter increased slightly to 6.9 million, compared with 4 million for the 2021 third quarter. We support the bank’s allowance for credit losses to 73 basis points. 10:38 The overall coverage ratio continues to stand at a healthy 217%. I would like to point out that excluding very well secured fund banking capital call facilities and government guaranteed PPP loans, the allowance for credit losses ratio would be much higher at 1.24 basis points. 10:59 Now, onto the expanding team front where we continue to realize success. During 2021, the bank on boarded eight private client banking teams in total. Two in New York, four on the West Coast, as well as the Corporate Mortgage Finance team and the SBA Origination Team. 11:18 Additionally, the bank added numerous group directors to existing teams and Signature Financial added several executive sales officers across their national footprint. Geographic diversification was another initiative that we successfully executed on. 11:35 At this point, I'll turn the call over to my colleague Eric, and he will review the quarter's financial results in greater detail.
Eric Howell: 11:41 Thank you, Joe and good morning, everyone. I'll start by reviewing net interest income and margin. With our emphasis on growing net interest income, the fourth quarter – for the fourth quarter reached 536 million, an increase of 55 million or 11% from the 2021 third quarter, and an increase of 141 million or 36% from the 2020 fourth quarter. 12:07 Our robust growth in net interest income during 2021 can be attributed to our record deployment of cash, which led to an increase of 27.5 billion across our securities and loan portfolios. 12:22 Net interest margin on tax equivalent basis increased 3 basis points to 1.91%, compared with 1.88% for the 2021 third quarter. The increase was primarily driven by the continued decrease in deposit costs, as well as the decrease in pressure on overall asset yields as rates throughout the quarter were favorable. Our massive excess cash balances from significant deposit flows continue to impact margin by 53 basis points, and again, our focus is on net interest income growth. 12:58 Let's look at asset yields and funding costs for a moment. Interest earning asset yields for the 2021 fourth quarter decreased 2 basis points from the linked quarter to 2.16%. The rate of decline in asset yields has significantly slowed and it appears that we are at or near the bottom. 13:16 However, asset yields continue to be affected by the excess average cash balances which grew 1.3 billion to 30.5 billion during the quarter. This is despite asset growth of 10.6 billion. Yields on the securities portfolio increased 3 basis points in linked quarter to 1.52% due to higher reinvestment rates, as well as the slowdown in CPR speeds on our mortgage backed securities portfolio. 13:44 Additionally, our portfolio duration increased to 3.6 years due to the higher interest rate environment. 13:52 Turning to our loan portfolio, Yields on average commercial loans and commercial mortgages decreased 5 basis points to 3.4% compared with the 2021 third quarter, excluding prepayment penalties from both quarters, yields decreased by 7 basis points. 14:10 Now looking at liabilities, our overall deposit cost this quarter decreased 3 basis points to 19 basis points, due to both the low interest rate environment as we gradually lower our relationship based deposit rates and our very robust DDA growth. 14:29 At this point, we think we're near the bottom on deposit costs and it will be difficult to lower further, but obviously we will try. During quarter, average borrowing balances decreased by 14 million to a low 3.4 billion and the cost of borrowings remained stable at 2.8%. 14:49 The overall cost of funds for the quarter decreased 5 basis points to 27 basis points driven by the reduction in deposit costs. 14:59 As we have pointed out, the bank is significantly asset sensitive, which is another of our initiatives that we executed on. The banks focus on growing floating rate loans, which now comprise 49%, up from 10% of our loan portfolio coupled with our core deposit funding make us extremely well positioned to take advantage of a rising rate environment. 15:22 And on to non-interest income and expense. With our plan to grow non-interest income, we achieved growth of 9.3 million or 38.3% to 33.5 million when compared with the 2020 fourth quarter. The increase was generally across the board as many of our fee income initiatives are taking hold. 15:43 Non-interest expense for the 2021 fourth quarter was 183.9 million versus 157.7 million for the same period a year ago. The 26.3 million or 16.7% increase was principally due to the addition of new private client banking teams and operational support to meet the bank's growing needs. 16:07 And despite our significant team hiring and margin compression from substantial cash balances, the bank continues to gain operating leverage and as a result, our efficiency ratio improved to 32.3% for the 2021 fourth quarter versus 37.6% for the comparable period last year. 16:29 Turning to capital, our capital ratios remained well in excess of regulatory requirements and augment the relatively low risk profile of the balance sheet as evidenced by common equity Tier 1 risk based ratio of 9.58% and total risk based ratio of 11.73% as of the 2021 fourth quarter. 16:49 And now I'll turn the call back to Joe. Thank you.
Joseph DePaolo: 16:52 Thanks, Eric. I'd like to thank my colleagues who have demonstrated their dedication to our clients and their needs during this pandemic. Times like these, our clients truly by the level of care and advice that my colleagues provide and our performance for the year reflects their extraordinary efforts, the strength our franchise as we continue to execute on many fronts. 17:18 2021 was truly an astonishing year of growth and achievement for Signature Bank. We delivered staggering record deposit growth of 43 billion or 68% on top of record deposit growth in 2020 of 23 billion. Demand deposits increased a record 25.6 billion for the year and remained at a high 42% of total deposits, which is in large part due to the adoption of our Signet platform. 17:46 And most importantly, our deposit growth was across the board, from our existing teams to all of our newer national businesses. We had record loan growth of nearly 16 billion. Furthermore, we have returned to growing our commercial real estate portfolio and during the fourth quarter, CRE loans increased by 707 million. We grew our securities portfolio by a record 11 billion. 18:11 To sum up, our balance sheet grew by 44.6 billion or 60%, truly astonishing. Our growth propelled the bank's pre-tax, pre-provision earnings by 318 million or 32% for the year. 18:28 Net income substantially increased by 390 million or 74% to a record 918 million for the year. And we had a strong return on average common equity of 13.8% despite margin compression due to excess balances. We're going to say that’s extraordinary to have that return while the bank was growing by leaps and bounds. 18:51 Fee income or non-interest income grew by 61% or 45.6 million for the year. We improved our already best-in-class efficiency ratio during the year to 35%, and we set the stage, continued growth with the hiring of 8 private client banking teams consisting of two in New York, four on the West Coast, in addition to onboarding the SBA lending team and the corporate mortgage finance team. 19:21 There has been a number of transformative goals and initiatives that we have looked to achieve over the last several years. We lowered our loan to deposit ratio from a high of 104 to 61. We significantly increased floating rate loans as a percentage of assets, and we are now firmly asset sensitive and well positioned for a rising rate environment. 19:44 We lowered our CRE concentration levels from a high 593% to 312%. We've geographically diversified our expansion into the West Coast as well as our on-boarding of several national businesses. We've increased our fee income substantially. And lastly, we have become the recognized leader in the digital banking arena. Signature Bank enters 2022 as a strong financial institution. We very much look forward to the years to come. 20:15 Now, we are happy to answer any questions you might have. Britney, I'll turn it back to you.
Operator: 20:20 [Operator Instructions] Thank you. And we will take our first question from Dave Rochester with Compass Point. Your line is now open.
Dave Rochester: 20:51 Hey, good morning, guys. Nice quarter.
Joseph DePaolo: 20:54 Good mornings, Dave.
Dave Rochester: 20:56 On the Signet deposits, I just want to make sure I got the numbers right that you gave. Did you say that you were 7.7 billion in Signet at the end of the year and now you're up over 10 billion now in the first few weeks of January, did I hear that right?
Joseph DePaolo: 21:09 Yes. We’ve hit 10 billion several times during – several days during the first several weeks here in January. It's not a consistent 10 billion, but it's moving toward that number.
Dave Rochester: 21:23 Yes. Okay. That's a great start to the quarter. Do you happen to have the end of period breakdown for that digital asset deposit book at year-end?
Joseph DePaolo: 21:32 Yes.
Eric Howell: 21:33 Yeah, sure, Dave. So, stable coin issuers, we had 6.9 billion in deposits of which 4.8 billion were operating balances and 2.1 billion were reserves. OTC desks, and institutional traders were at 4.5 billion. Digital asset exchanges were at 14 billion, and blockchain technology and digital miners were at 3.4 billion.
Dave Rochester: 22:07 Perfect. Thanks for that. You guys had mentioned potentially doing some upgrades to Signet this year, early this year, I guess. Are there any updates on that front and as a part of that, are you anticipating that you'll be issuing stable coins on behalf of customers at some point?
Joseph DePaolo : 22:29 Well, the enhancements that we’ve referred to will be during this first quarter. And everything you ask will be announced as part of what we're doing with the enhancements.
Dave Rochester: 22:41 Right. So, that is coming this quarter definitely?
Joseph DePaolo: 22:44 Yes. If I have to give an answer, the answer would be yes, right now.
Dave Rochester: 22:51 Sounds good. What does the customer pipeline look like for the digital asset group at this point?
Joseph DePaolo: 22:58 And it's pretty robust.
Dave Rochester: 23:03 Has that been increasing, is that higher than it was previously?
Joseph DePaolo: 23:07 Yes. It's been growing. We surpassed the 1000 a while ago, 1000 active clients.
Dave Rochester: 23:16 Great. Maybe just one last one. Can you just give an update on the used cases of Signet? I know you've been working on the payroll company. When do you expect that will be fully online and integrated with your platform and what is your thought on how large that ecosystem can ultimately be for you guys over time?
Joseph DePaolo: 23:33 Well, it's fully integrated and some of the payroll companies are already using it. We expect to grow this year in 2022. We had some success during the fourth quarter, but we haven't hit our stride yet. That's ...
Dave Rochester: 23:54 What kind of deposits?
Joseph DePaolo: 23:57 I’m sorry.
Dave Rochester: 23:58 That's great. That's great to hear. What level of deposits do you have in that segment at this point?
Joseph DePaolo: 24:06 I rather not say. Because I know there are competitors on the call.
Dave Rochester: 24:12 All right, fair enough. Sounds good. Thanks guys.
Joseph DePaolo: 24:14 Always trying, Dave.
Dave Rochester: 24:17 That’s right.
Operator: 24:20 And we will take our next question from Matthew Breese with Stephens Inc. Your line is now open.
Matthew Breese: 24:26 Hey, good morning.
Joseph DePaolo: 24:27 Hey, Matt. Good morning.
Matthew Breese: 24:30 Just hoping up for a little bit of color, obviously, 2021 was impressive on multiple growth fronts, but if you could give us some color as to what you expect for loan, securities deposit growth this year and whether or not your guidance on that front has changed?
Joseph DePaolo: 24:45 So, we expect that on the asset side, as that’s the guidance we’ll give, we think we’ll grow in the second, third and fourth quarters somewhere between 4 billion and 7 billion, that range, that's a combination of loans and investment securities. The first quarter, we think it would be 3 billion to 7 billion, probably on the low end because the first quarter is difficult to little activity and part of our growth in the fourth quarter by 1.3 billion was a purchase that we made in the fund banking arena. 25:24 So, 3 billion to 7 billion in the first quarter and 4 billion to 7 billion for the second, third and fourth quarter. We think it would be primarily funded by deposits, either growth or what we have in cash right now, but primarily growth and that's as much as I can give you on the asset side.
Matthew Breese: 25:49 Got it. I appreciate that. And then maybe just on the interest rate sensitivity side, it now feels like it's a matter of when and how many rate hikes we're going to get this year? All else equal, I know cash is a separate variable here, but all else equal, per kind of 25 basis point hike, what is your expectation for margin expansion?
Eric Howell: 26:15 I think if you look at 100 basis point ramp scenario, we go up a little over 10% and it’s pretty linear. So each 100 basis point move we're going up an additional 10%, if it's 200, we’re going up 20%, 300 we’re going up 30% and so forth. So, for 25 basis point move, I think it'd be 2% to 3% range increase.
Matthew Breese: 26:40 Got it. Okay.
Joseph DePaolo: 26:42 Our goal is to grow net interest income.
Eric Howell: 26:45 And that's on a static balance sheet. So, obviously we’ll have growth and hopefully the mix shift of moving cash into securities or loans will also be very beneficial to that.
Matthew Breese: 26:59 Understood. Okay. Yeah, last one for me. In December, your blockchain real time payments provider, Tassat, they did a demo, real time payments using stable coin, not inter-bank, but between two banks. Just understanding your relationship with them, I was curious if this is something you're interested in, joining one of their intra-bank network? And in your mind, what are the potential used cases of linking arms and sharing a stable coin and what are some of the benefits?
Joseph DePaolo: 27:25 So, first, let me say that they're very good partner, fintech partner. We like the relationship very much so, but what we do is, what dictates what we're doing is that we listen to our clients and what our clients have told us is, certain things that allow us to set our priorities and our agenda. And some of the things we're working on now with Signet is our priority and we really haven't thought – given much thought about the Tassat platform. 28:02 And so, we will be doing that looking at it, but let me say that they're working with us on the improvements we're making with Signet.
Matthew Breese: 28:15 Great. Appreciate it. I'll leave it there. Thank you.
Joseph DePaolo: 28:18 Thank you.
Operator: 28:20 We will take our next question from Jared Shaw with Wells Fargo. Your line is now open.
Jared Shaw: 28:27 Hi, good morning, guys. Thanks for the questions. Maybe circling back on to the crypto side, great growth there. Can you give a rough breakdown of what is from new customers versus volume from additional or additional volume from existing customers?
Eric Howell : 28:44 We don't have that breakdown Jared.
Jared Shaw: 28:49 Okay, all right. And I guess shifting, when you look at the allowance and credit, any color around the growth in NPLs, was that reflecting any of the final move out of deferrals? And when we look at the allowance ratio here, is that probably a good floor given the growth outlook?
Eric Howell: 29:12 Yes. I mean, we took a hard look at year end given the end of our ability to extend COVID deferral. So, we took a conservative approach and put loans on non-accrual or mostly got them back to paying us, Jared. So, we think we're at a near term peak on non-accruals. I mean, we could see it tick higher, but I won’t think it would be meaningful and we're working on resolution on many of those credits. So, hopefully, we can keep it at or below the levels that we're at today.
Jared Shaw: 29:49 Okay. And then what are you seeing for new money yields in the loan book and the securities purchases here?
Eric Howell: 30:03 We are generally seeing on floating rate, LIBOR plus 200. In the CRE front, what, mid-3s now Joe?
Joseph DePaolo: 30:16 Basically.
Eric Howell: 30:17 Yes. I think we're like 350 on multi-family and higher obviously on other forms, whether it be retail or office.
Joseph DePaolo: 30:25 What we have in the pipeline right now and that we put on the books – will be put on the books this month and next month, probably [three and a quarter] [ph].
Jared Shaw: 30:38 Okay. And when you look at that the CRE portfolio in New York, outside of multi-family, I guess, how's the growth specifically there, and what's your view in terms of the outlook for the year in terms of health of that sector?
Joseph DePaolo: 31:00 Well, we think that they will grow somewhere between a quarter of a billion and three quarters of a billion on a quarterly basis. I would say that 707 million is primarily multi-multifamily. It's a good time right now to make loans. With COVID out there, you know where they are at the bottom. 31:29 And in bad times, we still need a good time to make loans because you know the current situation, but it’s not likely to get any worse. So, we expect them to do business this year. We haven't had – since the fourth quarter growth we hadn't had that growth since the third quarter of 2018. 31:51 So, it's been quite a while, and if we can get back to that pace that would be very good for us.
Jared Shaw: 32:00 I guess, finally from me, capital, the balance sheet growth is an exceptional capital ratios, you know a little lower than where we’ve seen recently, what are your views on capital sufficiency here and not just for where we are today, but for growth?
Eric Howell: 32:19 Jared, if we see an extended period of growth in our future, we're not going to be shy about raising capital.
Jared Shaw: 32:27 Okay, great. Thanks for the questions.
Eric Howell: 32:30 Thank you.
Operator: 32:32 We will take our next question from Mark Fitzgibbon with Piper Sandler. Your line is now open.
Mark Fitzgibbon: 32:38 Hey, guys. Good morning.
Joseph DePaolo: 32:40 Good morning, Mark.
Mark Fitzgibbon: 32:41 First, I want you to help us think about the outlook for expense growth in 2022?
Eric Howell: 32:48 Yes. I think we had some anomalies in the fourth quarter of last year, which led to us being up a bit this fourth quarter. If we look at the first quarter versus the 2021 first quarter, probably being a 14% to 16% range. 33:07 I would think closer to the higher end of that range and then we should trend down as we've done many years before; you know trend down over the course of the year. And bring that expense growth rate down each quarter.
Mark Fitzgibbon: 33:22 Okay, great. And then I'm curious, funding banking loans, I assume had pretty good growth again this quarter, which would probably push it up to roughly 40% of total loans. I guess I'm curious how large you're comfortable letting that line of business grow to?
Eric Howell : 33:41 We really haven't set an official target or internal level. I mean, we're pretty comfortable letting that grow quite a bit. From where it is. It's an extremely well secured and well diversified portfolio, whether it be the underlying type of fund, the LPs that were lending to the geographic areas it's well diversified geographically. So, there's tremendous diversification within that portfolio that gives us a lot of comfort and clearly it's got a long history of little to no loss. So, we feel very good about growing our portfolio.
Mark Fitzgibbon: 34:19 Okay. And then lastly, I know you've been hesitant to say where the next geography is likely to be, but I'm curious, if you can give us a sense for what the timing on expanding into a new geography might be. And also, if you could also share with us what the number of teams in the pipeline look like for 2022? Thank you.
Joseph DePaolo: 34:39 Well, the predominant growth would be [West to the Mississippi] [ph] in teams, although we do expect to open up an office in New Jersey. In 2022, we'll have an office, we're actually doing a lot of business in New Jersey to make sense for us to have place, we’re not going to say where it is right now, but, we'll be entering New Jersey and then [West to the Mississippi] [ph] very close to California.
Eric Howell: 35:09 And on the team front, we've got a number of ongoing discussions with teams in various stages of the pipeline, but I think you'd have some pretty robust growth especially given some of the new geographies that we are looking to enter. So, talking anywhere from eight to potentially 20 teams on the high end.
Mark Fitzgibbon: 35:33 Thank you.
Eric Howell: 35:35 Thank you, Mark.
Joseph DePaolo: 35:36 Thank you.
Operator: 35:37 And we will take our next question from Brock Vandervliet with UBS. Your line is now open.
Brock Vandervliet: 35:44 Great. Good morning.
Joseph DePaolo: 35:46 Good morning, Brock.
Brock Vandervliet: 35:48 Good morning. On the securities lending, I know that it started slow with a $25 million loan that was up upsized to 100 million, I believe, where does that initiative stand right now?
Joseph DePaolo: 36:05 We have two loans in the pipeline that we are very much alone in pipeline for 100 million apiece. And then we have loans we haven't worked on yet that are in the pipeline, maybe somewhere about a dozen clients. I don't know how much we'll book this quarter. It's likely, we’ll book the two $100 million ones, excuse me, rather soon, but it's not going to be a driver of our loans. With the fund banking and with the new mortgage warehouse business and the SBA business and CRE coming back it will be at the very, very low end of our generation of business.
Brock Vandervliet: 36:59 Is that, I remember [you framing] [ph] that that the potential there in the billions in terms of the demand, has that changed or is there a change in risk appetite or can you tell us a little bit more about what the thinking is behind the curtain I guess?
Joseph DePaolo: 37:23 Well, the appetite is very much there, but we want to go slowly. We want to make sure that the relationship we have with our third party that manages the collateral for us. We like the way we set things up. We've seen movements up and down and we've seeing settlements being done every Friday, because we true-up every Friday, at least for now, and there's no hidden agenda there. 37:56 It's basically we said, we would really crawl before we walked. And the we said, we walk before we run, and then we changed that and said, we would [walk] [ph] before we walk. We're never going to run in this business. 38:09 I know there are some clients that are willing to wait for us, but if we have clients that we won't do wrong with and won’t stop doing business with us on the Signet platform. We don't feel the need to do something that we're not yet 100% comfortable with [other] [ph] pieces.
Brock Vandervliet: 38:32 Okay. And not to try and push in areas you're not comfortable talking about yet, but it sounds like we should expect a broader disclosure on a plan around Signet sometime in other digital initiatives sometime in the first quarter?
Joseph DePaolo: 38:54 That's our plan. Absolutely.
Brock Vandervliet: 38:58 Okay, great. Thanks for the questions.
Joseph DePaolo: 39:00 Thank you. Thanks.
Operator: 39:02 And we will take our next question from Casey Haire with Jefferies. Your line is now open.
Casey Haire: 39:08 Yes, thanks. Good morning guys. Hey, guys. So question on the securities build and loan growth guide. So, 4 billion to 7 billion per quarter in the later part of the year. It feels like there's an opportunity to be a little bit stronger on the security side of things with that $30 billion cash position. I was just wondering what is kind of holding you back there, even though there was a nice step up this quarter?
Eric Howell: 39:41 We are being a little bit more aggressive Casey, but we do anticipate that rates are going to continue to rise and rise, and rise. So, given that, we want to be smart about how we deploy and make sure that we have enough to deploy into even higher rates in the future. And there is quite frankly only so much that our treasured group is able to deploy in any given quarter as well.
Casey Haire: 40:04 Got you. Okay. And just following up on that, Eric, I heard you on the loan yields, but I'm not sure, I heard you on the new money yields for securities placements, where are those coming on today?
Eric Howell: 40:16 Right around 2%.
Casey Haire: 40:18 Okay. Very good. And then just on – a couple of questions on the asset sensitive profile. Number one, the deposit beta, what are you guys baking in your simulation? And then two, the loans that 49% of them floating rate, is there a level where you would not want to see that go any higher or is that not on play at all?
Eric Howell: 40:46 I wouldn't say it's not in play at all and something that we continue to look at being where we're positioned now and the expectation that rates will continue to rise. I mean, we're happy with that level of floating rate and even pushing it higher, but there will be a point as we see rates start to level off that will look to be even more aggressive in our CRE portfolio again to help balance that out.
Joseph DePaolo: 41:12 Yeah. We really haven't had CRE able to [underwrite] [ph] initiative, we didn't have CRE balancing it out at all for the last three years, but now that will change.
Casey Haire: 41:26 Okay, very good. And just the deposit beta, assumptions in your simulation.
Eric Howell: 41:33 Well, last time through when we saw fed tightening, we had a 34% data on our total deposits, I think we're modeling around a 40% beta. Be a little bit more conservative.
Casey Haire: 41:48 Okay, very good. Thank you.
Eric Howell: 41:50 Thank you.
Operator: 41:53 And we will take our next question from Steven Alexopoulos with JPMorgan. Your line is open.
Steven Alexopoulos: 42:00 Hey, good morning everyone.
Joseph DePaolo: 42:02 Good morning, Steve.
Steven Alexopoulos: 42:04 So, I wanted to start bigger picture, so if look at period and assets, right, you are 45 billion for the year, so the run rate pretty consistently is above 10 billion a quarter, and regarding the 4 million to 7 billion asset growth beyond the first quarter, are you just being conservative with the guidance? And I do recognize you basically beat the guidance every quarter in 2021? Or do you see something more specific which should cause asset growth to slow a bit in 2022?
Joseph DePaolo: 42:32 Well, we’re not trying to cry wolf. We've had, as you said, [four quarters of 10 billion] [ph] in growth. And we expected that to be less each quarter, not from a conservative standpoint, but from what we are seeing. And even though we have more initiatives that starting with mortgage warehouse and SBA, we won't expect there to be billions in growth from each of those businesses. 43:05 We've expect to help the diversification of our balance sheet. There is no crystal ball, plus the interest rate is going to go up and when we see interest rates go up, we've seen deposits being used for other things. Sometimes investments in – CRE investments in their buildings and for other businesses they are using their deposits. We have a little bit of transfers on the deposits to the off balance sheet. 43:45 And then you have some headwinds where some interest bearing deposits will be going to other institutions where they have. We have some fluff. So, not knowing what the environment is going to be like the next 12 to 24 months, it is our best projection. And we're happy that we’re better at execution than we are at projections.
Steven Alexopoulos: 44:08 That's a good color, Joe. In terms of the Digital Asset customers, how many did, I know you said you went over 1,000, but how many did you add in the quarter? And has the fall in the price of crypto prices had any impact on the pace of institutional adoption?
Eric Howell: 44:24 We haven't seen the full effect of adoption at all. Just to add to that. We added 139 clients during the quarter. So, we're now at 1,042.
Steven Alexopoulos: 44:36 Okay. That's helpful. Thank you. And then a final question. On the, just follow-up on Mark's question on expenses, it’s almost mind blowing to see the efficiency ratio down to 32%. Given the expense guide and rates going up, it would appear that this is going to go even lower. So, one, is that the right way to think about it, that the efficiency ratio just goes down from here? And just given the asset level where you’re moving to, do you see a need at some point to ramp just expense growth from a regulatory compliance view? Thanks.
Eric Howell: 45:10 Not so much from a regulatory compliance. I mean there are some things that we're obviously doing there on that front. And we'll continue to spend that, but it's not – it won't be the primary driver. And we're working on a number of initiatives and as Joe pointed out in the digital front, there's a lot that we have to do just in our operations, our existing infrastructure to show that up and get it in line with one or one [$100 dollars plus] [ph] banks infrastructure should look like. So, we're going be spending a lot on human capital and in technology to support all the growth that we put on. 45:42 I think that if it weren’t work for the growth we’d be well below the 14% to 16% guidance that we've been talking about. But really our ability to move the efficiency ratio down is strongly predicated upon a higher interest rate environment where we're going to see our NIM actually expand, right? And that NIM expansion of just 3 basis points is pretty meaningful this quarter. 46:06 It looks like we're at or near a bottom, right, we'll see what happens with the interest rate environment as we all know can be volatile. But if we see a similarly situated yield curve to what we have today, and we should see further NIM expansion and we’ll drive that efficiency ratio down with that.
Steven Alexopoulos: 46:25 Okay. Great. Thanks for taking all my questions.
Joseph DePaolo: 46:29 Thank you Steve.
Operator: 46:31 And we will take our next question from Chris McGratty with KBW. Your line is now open.
Chris McGratty: 46:38 Hey, good morning. Most of the questions have been addressed. I was interested if you could spend a minute on non-interest income, you know 40% year on year growth. I guess two parts, how should we be thinking about the sources in the trajectory of growth going forward?
Eric Howell : 46:56 Well, I think if we look at 2022 versus 2021 overall, we'll see 20% to 30% increase in fee income there. If you look at just the first quarter of 2022 versus the first quarter last year, it's probably more of 10% growth. We did have a really strong quarter, first quarter of 2021 as it related to loan sales and some trading income, which is a bit more volatile and harder to predict. 47:27 So, the first quarter's growth would be around 10% and in the future quarters 20% to 30%. And we've got a number of the initiatives there that are truly taking hold. Foreign exchange has been steadily climbing over the course of the last two years. We just barely started on our credit card. So, hopefully, we'll see that take off. 47:48 And then fund banking and the continued growth there is driving unused fees. So that should be a further driver for us. And we've had a lot of success in our SBA business where we're starting to drive fee income. And really, we've spent a lot of time focusing with all of our private client banking teams on their fee income generation and getting them to see the value of the stellar services that they give to their clients and that they should be paid for that. That's driven our fee income as well.
Chris McGratty: 48:23 That's great color. Thanks Eric. Just a clarification on the loan – on the asset growth, the 3% to 7%, what's assumed mix of bonds and loans in that guidance?
Eric Howell: 48:38 We haven't given it for good reason. It's really hard to predict both those and it's based on really the interest rate environment, as well as many other factors that come into play. So, we're just kind of guide on overall asset growth at this point.
Chris McGratty: 48:54 Okay. Thanks.
Operator: 49:00 And we will take our next question from David Long with Raymond James. Your line is now open.
David Long: 49:07 Good morning, everyone.
Eric Howell: 49:09 Good morning, Dave.
David Long: 49:11 Eric, I think earlier you answered the question about NIM upside to 25 basis points, in that discussion, I think you said 10% upside to net interest income in 100 basis point parallel shift. I think it was 15% last quarter, has anything materially changed with your asset sensitivity?
Eric Howell: 49:31 It's come down ever so slightly. There are a lot of moving pieces to that equation, but it's come down a little bit. So, it's not quite 15%, it's not 10% either, it’s probably closer to 12%, 13%.
David Long: 49:50 Okay. Okay, got it. And then second question, did you disclose the dollar transfer volume in the digital current ecosystem that had in the fourth quarter?
Eric Howell: 50:02 We had not, but our volume transfers were a record high for us of 213.7 billion.
David Long: 50:12 And for reference, what was it in the third quarter?
Eric Howell: 50:16 In the third quarter it was 127.9.
David Long: 50:22 Awesome. Great. Thanks guys. Appreciate it.
Eric Howell: 50:24 Thank you.
Operator: 50:27 And we will take our next question from Ebrahim Poonawala with Bank of America. Your line is now open.
Ebrahim Poonawala: 50:35 Hey, good morning.
Eric Howell: 50:37 Good morning.
Ebrahim Poonawala: 50:39 Just had one follow-up question on the capital [Technical Difficulty] down 1%, it should be up 5% given the plenty you had. Remind us Eric, internal capital generation, what's the level of assets growth that you can support and why not do a [pre-equity] [ph] raise given how strong growth momentum is, stocks at an all-time high? Just give us a better thought process around the capital planning?
Eric Howell: 51:05 I mean, I think our capital generation roughly generated 1 billion in capital in terms of what ratio [and clearly] [ph] it's going to support 8 billion to 10 billion in growth. So, and I'm going to stick to the script Ebrahim, if we see an extended period of time, where we're going to have lots of growth in our future, we're going to go raise capital.
Ebrahim Poonawala: 51:34 And you still prefer equity over anything else in terms of shoring up capital? Is that fair?
Eric Howell: 51:40 Yes, we like a clean capital structure. So, common is probably, makes the most sense for us.
Ebrahim Poonawala: 51:47 Got it. Thank you. That's all I had.
Eric Howell: 51:49 Thank you.
Operator: 51:51 And we will take our next question from David Bishop with Seaport Research. Your line is now open.
David Bishop: 51:57 Yeah, good morning, gentlemen. Most of my questions have been answered. Eric, I wasn't sure or if maybe Joe had mentioned, the allowance for loan losses to loans, did I hear that that may have hit a floor here, just given the growth outlook here into 2022, wasn’t sure if I heard that correctly earlier in the call? Thanks.
Eric Howell: 52:16 I mean, I think we're clearly closer to the floor. I wouldn't necessarily say that we [fit in fully yet] [ph], but we're clearly getting closer to the floor.
David Bishop: 52:27 Great. Thank you.
Eric Howell: 52:28 Thank you.
Operator: 52:30 This concludes our allotted time in today's conference call. If you would like to listen to a replay of today's conference please dial 1-800-938-1598. A webcast archive of this call can also be found at www.signatureny.com. Please disconnect your line at this time and have a wonderful day.